Raquel Cardasz: Good morning everyone and thank you for waiting. I'm Raquel Cardasz from IR, and we would like to welcome everyone to Pampa Energía's Fourth Quarter 2023 Results Video Conference. We would like to inform you that this event is being recorded. All participants will be in a listen-only mode, during the presentation. After the company's remarks, there will be a Q&A session. Questions can only be submitted in writing form. [Operator Instructions] Before proceeding, please read the disclaimer on the second page of our presentation. Let me mention that forward-looking statements are based on Pampa Energía's management beliefs and assumptions and information currently available to the company. They involve risks, uncertainties and assumptions, because they are related to future events that may or may not occur. Investors should understand that general economic and industry conditions and other operating factors could also affect the future results of Pampa Energía and could cause results to differ materially from those expressed in such forward-looking statements. Now I'll turn the video conference over to Lida. Please go ahead.
Lida Wang: Hello everybody. Thank you for joining us to this another new quarter. I will make a quick summary of Q4. You may find more details - in our earnings release, or financial statements. Today we have for the Q&A our CEO, Gustavo Mariani; our CFO, Nicolás Mindlin; our Head of E&P, Horacio Turri; our Head of Finance, [Pito Zulegoulas], so full team here. Well, so let's quickly review 2023. This is another challenging year, but it did not prevent us from growing and delivering milestone. In 2023 we will reach again a new peak in gas production exceeding 16 million cubic meters per day. This is a remarkable 44% increase, compared to the 2022 record. Thanks to the new pipeline facilitating additional eastbound evacuation and our active campaign Vaca Muerta. However, average production did not take off as expected, due to soft demand from mild weather and poor thermal dispatch. For the first time in nine years, we deliver below the take or pay. Pampa E&P is mostly gas production, but for now on we aim to diversify with shallow oil from Rincon de Aranda. Power generation did not stay quiet either. In 2023, we commissioned Ensenada Barragan's CCGT, PEPE number IV wind farm, adding 360 megawatts of efficient energy. We also will be inaugurated this year PEPE VI, which is total install capacity of 140 megawatts. So with all online we will be reaching 5.5 gigawatts, by the end of this year. EBITDA fell 12% year-on-year. This is mainly because of reduced gas sales mentioned before and the impact of the steep peso depreciation over our affiliates. This is Transener and TGS. We will address this issue later. Our way of management helped us to gain efficiencies and be savvy over business and balance sheet. We used our robust cash flow, to enhance our portfolio, without neglecting our financial position, strengthening our liquidity and substantially reducing our leverage, by paying down debt or taking advantage of the local market. Overall 2023 was another remarkable year in PEPE's history. We look forward to delivering outstanding results going on. So we are in the quarter. We must highlight again, this net leverage reduction, which reached the lowest level in years, $613 million of net debt. The situation was coupled with a soft demand for gas and thermal energy. This is our main product. This was expected, because of seasonality, Q4 is an off-peak y season. But this was worsened by mild weather with a warm spring and cold start of the summer. A linear effect generating high levels of hydro and therefore ranking senior to thermal dispatch. And as well as high nuclear availability. So that also kind of lagged behind thermal generation. And I'll highlight that, we are harvesting our drilling campaign in Q4, shale gas represented 47% of our total gas production. This is a significant increase, compared to last year, just nearly 3% of total gas production. The adjusted EBITDA for the quarter amounted to $129 million. This is 30% less year-on-year, because of soft demand. Peso the devaluation also impacted for our affiliates, Transener and TGS. And therefore, because their income, in real terms got hit by the steep jump in the FX. The new PPA's at our wind farms and Barragáns, CCGT, plus the additional income from the export dollar offset this variation. Therefore, power took most of the total EBITDA share in Q4. CapEx in Q4, was 50% higher year-on-year this is because mainly, because of the ramp up in E&P, which is concentrated in shale gas drilling and completion of wells, plus the construction of the PEPE VI wind farm. So, let me give you a quick, simplified explanation how peso depreciation affects Pampa. There's very important things that in the Q4, we accrued $250 million of income tax. This is an accrual, not cash accrual, which is 150% higher than the last year's period. This is because of this temporary lag between IFRS valuation of PPE and its tax appraisals. So tax reporting in Argentina follows the functional currency in pesos and pesos is adjusted by inflation. But the steep devaluation that happened in December 13, why didn't this gap between both valuations. So, we generated a temporary non-cash deferred income tax, which if the peso recovers, right, both valuations will be similar. And the tax, the set tax should be zero, should reduce to zero. Another effect is on the affiliates. So the affiliates, they also follow financial, the financial reporting follows peso currency, and their figures are also adjusted by inflation. So inflation was unnumbered, by the grand devaluation that happened in December last year. Should we all follow functional currency in dollars, TGS and Transener actually posted a higher EBITDA, making Pampa's 2023 EBITDA of $831 million instead of $802 million. Taking the side affiliates, the only segment we invoiced in pesos today is just legacy. And actually, not the whole legacy, it's just the conventional thermal and the hydros, which accounts less than 10% of our total Q4 sales. So let's move on to power generation as seen on Slide 6. We posted an adjusted EBITDA of $94 million in Q4. This is 10% higher year-on-year, mainly explained by lower operating costs and new PPAs, offset by soft thermal dispatch overhauls, maintenances in some GTs, and peso evaluation that impacted the spot energy, plus the divestment of Mario Cebreiro. Despite seasonality, EBITDA remains similar to last quarter. This is explained by the increase in the spot energy of 28% happened in November. There is another 74% clear from February this year. However, as you can see there, spot prices are still behind inflation and evaluation. Q4 dispatch decreased 3% year-on-year. This is mainly due to the lower demand and outages mentioned before, partially offset by Barragan's new CCGT, the hydros, and the new wind farms. Take or pay capacity is very important, especially for PPAs. It is driven by availability, and in Q4 we reached 93% below last year's 97%, this is because of Loma de la Lata's outage that affected the whole quarter. Moving onto PEPE VI expansion, the project progress is 69%. We keep working on facilities and civil works and power transformers that have already arrived from China, as most of the main components. They are stored in the Bahia Blanca port. The tower's components are being constructed. On Tuesday of this week we mounted the first wind turbine. There's 30 more to come, right? So, total 31 wind turbines. The estimated COD, it ranges between Q3 July of this year until October of this year we estimate to finalize, the whole wind farm. It is worth highlighting that this wind farm PEPE VI will be sold under B2B PPAs. Well, moving on to E&P, as you can see here, gas deliveries are recovering after Q4's weak demand. The late summer boom and the return to normal hydro levels are helping domestic sales and exports to Chile. It is noteworthy, to mention the importance of take or pay a kind of insurance for our investment, because for the first time in 2021, we delivered volumes under the take or pay contract. On Slide 9, our E&P business posted an adjusted EBITDA of $50 million in Q4. This is 30% below year-on-year. The decrease was driven by this sharp decline in local and foreign demand, which affected our gas prices too. This was partially offset by additional income from export dollars. In Q4, our total production averaged about 56,000 barrels of oil equivalent per day. This is 8% below last year. Zooming in, crude oil represented 8% of our E&P output, but 22% of the segment's revenue, mainly, because we're vesting 40% to exports, more than double last year. The activity ramp-up explained that our total lifting cost slightly grew by 5% year-on-year, and combined with a lower production, this impacted in the lifting cost per BOE, which increased 14% year-on-year, recording $7.4 per BOE. Focusing on gas, our Q4 production decreased by 7% year-on-year. This is averaging almost 9 million cubic meters per day, mainly explained by the lower demand. 53% of the quarter's production came from El Mangrullo and 25% from Sierra Chata, the latter showing a significant growth, compared to the 6% of share recorded last year. The average price for the quarter stood at $3.2 per million BTU. This is 17% down, due to lower-than-expected exports. Remember that the local production that is sold under Plan Gas, it's covered under the GSA. Regarding the campaign, the productivity was outstanding. As you can see, nine walls from Sierra Chata rank among the Top 20 producing wells in Vaca Muerta, outperforming peers and El Mangrullo, which they are also outstanding by their own right. In this sense, Sierra Chata almost tripled its production year-on-year thanks to drilling 10 wells, and completing nine doing 2023. In El Mangrullo, we drilled 15 wells and completed another 14, ranking two of them among the Top 20 producing wells in the formation. So, thanks to these outstanding results, especially at Sierra Chata, we recorded a 11% increase in our proven reserves, amounting to 199 million BOE. We almost doubled shale reserves certified in 2022 to 83 million BOE. Although we held a production record in 2023, the reserve replacement was 1.8 times, and the average life increased to 8.6 years. The petrochemical business that I'm going to talk briefly posted a $20 million EBITDA in Q4. This is 33% higher year-on-year, because of lower cost, due to the drop in production, and higher income from this export dollar income. And also, that explains the quarter-on-quarter increase. Q4, 45% of the sales volume was exported. This is higher than last year by 30%. In Q4, we recorded a cash flow of $95 million - outflow of cash $95 million. This is mainly explained by the expansionary CapEx in shale gas. We also recorded lower debt service quarter-on-quarter, benefited from the peso devaluation, also diluted the principal amount of the peso debt. Working capital improved as we collected winter sales from CAMMESA during December. Additionally, net of redemptions, we paid down $37 million in principal debt. In summary, we reduced $129 million in net cash in the quarter, achieving $834 million cash position by the end of the period. However, we increased our cash position year-on-year. Moving on now onto Slide 12, we show our consolidated financial position including our affiliates at ownership, but let's focus on the restricted group that reflects the bond perimeter. We posted a gross debt of $1.4 billion. This is 10% lower year-on-year. This is accompanied by a 19% growth in cash. Thanks to the strong liquidity position, our commitment to canceling debt and the debt peso - Argentine peso debt dilution, the net debt and leverage ratio decreased significantly, recording $630 million and 0.9 times leverage. The average life was 3.2 years. Until 2027, as you can see, we don't face any relevant debt maturity. So, this concludes our presentation. I will turn the word to Raquel. She will poll for the questions. Thank you very much.
A - Raquel Cardasz: Thank you very much. [Operator Instructions] So our first question comes from Alejandro Demichelis from Jefferies.
Raquel Cardasz: The first one says, how do you see upstream production and sales evolving in 2024?
Gustavo Mariani: Sorry for the delay. The question was about sales. Can you repeat this question?
Raquel Cardasz: Yes. How do you see upstream production and sales evolving in 2024?
Gustavo Mariani: Okay. Oil productions we see it fairly flat. We will put in production tools from Rincon de Aranda that we will be testing in the next few months, but that will have a marginal impact on our overall production of oil. Regarding natural gas, as you recall in July or August of last year, once the Gasoducto, the Nestor Kirchner Pipeline became online, we began to sold what we were awarded in the last round of the Plan Gas auction. And there, we were awarded a flat 4.8 million cubic meters of natural gas per day, throughout the year. So, when you compare what we are expecting in 2024 vis-a-vis what we sold in average in 2023, we believe it's going to be around 30% increase in sales in natural gas 2024 vis-a-vis 2023. That means around an average of 13.5 million cubic meters of natural gas per day average in 2024 vis-a-vis 10.0 something 10.3 I believe was the average quantity of gas sold during 2023. That's upstream sales.
Raquel Cardasz: Yes. Thank you. Alejandro's second question says, how do you see power generation sales and prices evolving in 2024?
Nicolás Mindlin: Healthy here, but the power generation sales will be increased, by the fact that we are currently building a new wind farm of 140 megawatt, that will be fully online by the third quarter of this year, but probably, it will have partial inaugurations beginning in June/July of this year. So, that sales from those wind farms, as they become online, will increase our production capabilities this year. Regarding prices, as you know, two-thirds of our EBITDA comes from PPAs, from sales through PPAs, where prices are fixed, and so we don't expect any change there. Regarding legacy capacity that accounts for about one-third of the EBITDA generation of the power generation segment, we were just granted in February an increase of 74%. So, but - so, we hope that the remuneration will remain, in real terms, fairly flat despite the inflationary environment we are living in. Regarding eventual regulatory changes, we still don't have any visibility on that.
Raquel Cardasz: Thank you very much both. The next questions come from Bruno Montanari from Morgan Stanley. First one is, can you walk us through Pampa's 2024 CapEx budget for each of the business segments? What projects are already sanctioned and are these projects that can still be considered this year?
Nicolás Mindlin: Projects already sanctioned? What does it mean? Can you repeat it?
Lida Wang: PEPE VI we are already doing that.
Nicolás Mindlin: Thank you, Bruno, for your question. Regarding CapEx, we have a very aggressive plan, but we are currently revising that aggressive plan given the, let's say, financial crisis that we are living on CAMMESA, which is an important part of our revenues. Thankfully, CAMMESA today accounts for around 40%, 45% of our overall revenues, but the delays that we are suffering are forcing us to revise our CapEx plan. Basically, before this situation, our CapEx plan were around $700 million, $500 million on the E&P segment, basically half of it new wells, and the other half infrastructure, both for Rincon de Aranda and for Sierra Chata. On power generation, CapEx were around - we were expecting to spend around $200 million, around $130 million it's the wind farm PEPE VI, which is already on track. And I have already mentioned when we are expecting to be online, and that won't be delayed. The other $70 million is regular maintenance of our power plant, and we are currently revising, what can be delayed and at what cost. So, we are currently revising those plans as well.
Raquel Cardasz: Thank you very much. The next three questions from Bruno are for the E&P segment. First one says, there were encouraging news from Sierra Chata supporting the increasing gas reserve. What is the production profile expected for the field?
Horacio Turri: Hello, everybody. Thank you for your question. We've been pretty successful in developing so far Sierra Chata field. And what we foresee in the future is a significant increase of the production that, will account approximately to 3.5 million cubic meters a day. We moved our early production facilities from Mangrullo to Sierra Chata, due to the productivity we found there. And therefore, that's the total amount of gas we will be increasing in Sierra Chata from approximately 6 million a day to 9.5 million a day. That's on an overall basis, considering our share and Exxon's share.
Raquel Cardasz: Thank you, Horacio. Next question says, can you elaborate on your strategy to be more active in your development and production of unconventional oil blocks?
Horacio Turri: Yes, we've been pretty active, particularly in derisking and trying to understand better our new shale oil field, which is Rincon de Aranda. As you probably know, we already drilled and completed one well, Rincon de Aranda 2000, which had pretty good results. And now, we are currently testing Rincon de Aranda 2001 that, has as a target Organico Inferior. And we only have eight days of testing, so there's not much to say about that, other than all the operations are developing normally. We expect to have results probably in 30 days from now.
Raquel Cardasz: Thank you. And last question, is the company interested to participate in LNG projects being discussed in Argentina? What can we expect Pampa's roles to be on future LNG supply?
Gustavo Mariani: As you recall, we mentioned in previous calls, we were studying through our subsidiary TGS one rather small project. We call it a modular project that could begin with small size and replicate those modules. Although the studies have not finished yet, our impression is that the lack of scale is a problem, that this project will lack the necessary competitiveness. So, the energy export in natural gas is key for Argentina, is key for Pampa in the long-term. So, Pampa is definitely interested in participating in a big national project like the one that YPF is carry on with another partners that we hope to be invited in the future.
Raquel Cardasz: Thank you very much. Next question comes from Marina Mertens from Latin Securities. There has been some noise regarding payments from CAMMESA, including Transener's recent release. Could you comment on what Pampa is experiencing regarding this issue, and how it might affect working capital needs?
Nicolás Mindlin: Yes, as mentioned, we are experiencing, again, delays on CAMMESA payments, and the lack of visibility of how this will evolve going forward is adding some uncertainty and stress. To explain the issue a little bit further, prior to February 1, and why February 1? Since February 1, there's been an increase in what we call the seasonal price. The seasonal price, is the price that distribution companies charges. National distribution companies all around the country charges to the final users, final users being residential customers, commercial customers, or industries. And that seasonal price should cover the cost of the fuel for thermal power plants, the cost of generating electricity, and the cost of transmission. As I was saying prior to February - in February 1, there was an increase in that price that will partially help solve the situation. Prior to February 1, the situation to give you a rough idea, and to give you an idea of the magnitude of the problem, the cost of a monthly transaction for CAMMESA was around $550 million. How those - that $550 million, it goes to pay for the fuel, basically natural gas, to power generation companies and to transmission companies. How those $550 million were collected by CAMMESA, around $200 million were collected from. Or should have been collected from distribution companies, around 40%. So, that is what was being covered by the final users. And the other 60% was the subsidy, around $350 million was the subsidy that the national government was injecting into CAMMESA. From February 1 onwards, given the increase in the seasonal price that was announced, the money coming from distribution companies, went from $200 million to $350 million. And the subsidy that the national government needs, to inject into CAMMESA went down from $350 million to $200 million. So, figures reversed between distribution companies and national government. Now, two thirds of the money needed by CAMMESA should come from distribution companies, and one-third should come from the national government. Despite this being the situation starting on February 1, we will start seeing this situation beginning April or May because February transaction is collected, or is paid by CAMMESA to power generation companies, the transmission companies in April, May. Until that moment, the situation was the previous one where the money needed monthly from the government was around $350 million per month. And the situation is that in 2024, the government didn't transfer any money to CAMMESA in January, had only transferred to CAMMESA $140 million in February, and so far nothing in March. And we don't have any visibility how this will evolve. So, this is the uncertainty that we are living, or that we are suffering ourselves and all the industry, both transmission companies, power generators. And natural gas producers, is the issue that the national government is sending to CAMMESA less money than what it should have, and on top of that, the behavior of the distribution companies. Distribution companies, because they have not received the price of their services adjusted by inflation, as they should have. They used the money they collect from the end users to finance themselves, and pay less than what they should to CAMMESA. In the last few months, they have been paying around 50% of what they should have. We hope that now that the national regulated distribution companies have received an increase in the value added of distribution, the price for the service they provide, they have received a significant increase beginning February 1st. So for the future, they won't need to finance themselves, by using the money that should be paid to CAMMESA. We hope that beginning April or May, the situation will accommodate, but it's going to get very tough to get to that moment, if the government continues with this - with the same behavior, we have been seeing in the last few months.
Raquel Cardasz: Thank you very much, Nicolás. Next questions come from Cristian Fera from Balanz. First one says it seems the linear hit hard on results. Do you expect this phenomenon to ease by first half of 2024?
Horacio Turri: Well, although we are not meteorologists, we understand that 2024 is coming as a neutral year in terms of hydrology. So, that's all we have to say about that.
Raquel Cardasz: Thank you. Next one says, considering the north reversal delay by ENARSA, what are your expectations for gas export to Chile during winter? Yes, considering the north reversal delay by ENARSA, what are your expectations for gas during to Chile - for gas export to Chile during winter?
Horacio Turri: Okay. So during the winter, the exports to Chile, particularly through the GasAndes pipeline, which accounts for the most important export share to Chile is capped in 5 million cubic meters day. So, our understanding is that, that will be fully supplied. So that's the - what we understand is going to be exported to Chile during the winter.
Raquel Cardasz: Thank you very much, Horacio. And the last question from Cristian. He wants to know if we are experiencing delays in CAMMESA?
Gustavo Mariani: Well, yes, I explained at length what we are suffering -- the situation of CAMMESA. But basically, what it means is that the invoice that we should have collected early January, we have only collected 50% from the invoice that mature at the beginning of February. We haven't collected anything, and we will have a new invoice maturing, I think, next Monday. So, next week we will be owed 2.5 months of -- 2.5 transactions.
Raquel Cardasz: Thank you.
Nicolás Mindlin: Roughly a transaction for Pampa is around $50 million to - $50 million, between $40 million and $60 million per month of transaction. So as you can imagine this means a significant effort in terms of working capital.
Raquel Cardasz: Thank you very much. Next question comes from Paula La Greca…
Lida Wang: Sorry, this graph that shows here is for the full transaction. So, it's not like we are today 28 days debate. Today, we are more than 50 days debate. All right? This is just to clarify. And that transaction that Gustavo mentioned is still not collected yet. Once we collect it will be amounting more than 50 days it will be like that.
Raquel Cardasz: Next question comes from Daniel Guardiola from BTG. Any thoughts on [Technical Difficulty] energy?
Gustavo Mariani: We understand that the government is working on regulatory changes, but so far, we don't have any clarity or visibility on what those changes are effectively going to be.
Raquel Cardasz: Thank you very much. Daniel Guardiola from BTG asked what is the EUR of Rincon de Aranda?
Horacio Turri: We've so far drilled and completed only two wells, so it's too early to give information about the EURs or IP of the block. We still have a long way to go.
Raquel Cardasz: Thank you very much. Thank you. Pedal et Alier [ph] asks, can you explain how Plan Gas works during off peak season? Could you export the remaining production related to Plan Gas extension? Yes. Can you explain how Plan Gas works during off peak season? And could you export the remaining production?
Horacio Turri: Either on peak or off peak season? What you do have is a take or pay that has to be committed by the off taker. And yes, you're okay to export all the surplus gas to Chile. But as I mentioned before, there is a cap which is the transportation capacity 9 million. Always talking about GasAndes, 9 million during the off peak season and 5 million  during the winter.
Raquel Cardasz: Thank you very much. And another question from Pedal et Alier is related to Plan Gas extension since 2028 price was $3.5 per million BTU, is there some price adjustment further?
Horacio Turri: No, there is not.
Gustavo Mariani: It was a fixed price.
Horacio Turri: It was a - everybody bid it and it was awarded from down to top and that was it. It was a tender.
Raquel Cardasz: Thank you, Horacio. Last question is from Alejandra Andrade from JPMorgan. Can you comment on the health of local capital markets?
Nicolás Mindlin: Well, local markets as you know, there is a very tight capital controls. So there are lot of pesos still trapped in the economy. That gives companies and whoever need to cover peso needs great opportunities. You've seen us last year issuing local dollars at 5%, dollar-linked bonds at 0%, or peso fixed rates below inflation. So, negative in real terms. These pesos are still available for companies seeking pesos. We're always ready to take any opportunity to cover our needs, until the REPO [ph] is still tight, I think there will be opportunities for companies to finance in the local markets.
Raquel Cardasz: Thank you, Nicolás.
Gustavo Mariani: Yes. But as the last comment what I wanted to highlight, especially for those of you that like me have a very hard time reading these financial statements, very complicated given the sharp depreciation of the peso just a few weeks before year end, the inflation accounting, et cetera and et cetera. The way I see the year, or the way I simplify year 2023 for Pampa, that I think was a remarkable year, is by taking two pictures. End of 2022, vis-a-vis the end of 2023. And what you see in those two pictures is that among several other things, but just to highlight a few points, Pampa in 2023 increased its power generation capacity by 80 megawatts. Part of that was money spent in 2022, around half of it. The other half of it was around $150 million was spent during 2023. So, we increased our capacity by 80 megawatts of wind farm. We, Pampa, did a huge increase in its natural gas production capabilities in 2023. In 2022, we had capability -- the capability to produce 11 million cubic meters of natural gas per day at a peak production. In winter 2023, we raised that capability to 16.5 million cubic meters of natural gas per day. That's a 45% increase in production capacity. That is not only drilling new wells, but also building pipelines, building gas treatment plants. So, significant effort in terms of capital expenditures. And while doing so, thanks to, again, several things, basically the strong free cash flow generation of our assets, thanks to a very successful management of our liquidity, and an excellent - and excellent liability management. As we explained given by the peso that we took at the beginning of the year, Pampa was able to reduce its net debt by one-third. We went -- we had net debt position of $900 million at the end of 2022. We now have -- at the end of 2023, we have a net debt of $600 million. So, we were able to reduce indebtedness by $150 million, and increase cash position by $100 million. So, $300 million reduction of net debt, putting us in a situation of very strong financial situation with a net debt of less than one time EBITDA. That gives an idea of Pampa capacity to finance future growth. So, I wanted to end with this optimistic comment.
Raquel Cardasz: Thank you. So there are no more questions. Thank you very much for your questions. I will now turn to Lida for final remarks.
Lida Wang: Okay. Thank you everybody. I hope all this answers your questions. If you have any more just contact us. We will more than happy to help you. I will bid you a good day. Bye.